Operator: Good afternoon, ladies and gentlemen. Welcome to Chunghwa Telecom Conference Call for the company's First Quarter 2023 Operating Results. [Operator Instructions] For your information, this conference call is now being broadcasted live over the Internet. Webcast replay will be available within an hour after the conference is finished. Please visit CHT IR website, www.cht.com.tw/ir under the IR Calendar section. And now I would like to turn it over to Ms. Angela Tsai, the Director of Investor Relations. Ms. Tsai, please go ahead.
Angela Tsai: Thank you. This is Angela Tsai, Director of Investor Relations for Chunghwa Telecom. Welcome to our first quarter 2023 results conference call. Joining me on the call today are Harrison Kuo, our Chairman and CEO; and Vincent Chen, our Chief Financial Officer. During today's call, management will begin by providing the highlights in our business overview in the first quarter, followed by a discussion of our segment performance and the financial results. After, we will move on to the question-and-answer portion of the call. I'd like to please note the safe harbor statement. Now I will turn the call over to our Chairman. Chairman, Kuo, please go ahead.
Shui-Yi Kuo: Thank you, Angela, and hello, everyone. Welcome to our first quarter results conference call. As this is the first time I'm speaking to investors, as the Chairman and the CEO of Chunghwa. I would like to thank all our investors for your long-term support over the past years. And looking forward to continuing our relationship going forward. Chunghwa Telecom is truly a trustworthy company with growth opportunities and strong corporate governance. Now please flip to Slide 4 for the highlights of the first quarter. For beginning, we would like to bring to your attention that NCC, our regulator get its conditional approval of the mergers among our peers in the first quarter, which we believe is a positive move for shipping healthy market competition in Taiwan. Based on the steady 5G penetration and the future industry landscape, we expect stable mobile market development that will further support our revenue growth momentum going forward. For the results of the first quarter 2023, we were pleased that we beat all financial targets despite the uncertainties in the macroeconomic context. Thanks to the vibrant growth of our three business groups, which all delivered positive year-over-year increases in each segment's revenue and profits. In addition, with our consistent business strategies that drive our mobile and broadband services. Our telecom services continued to deliver robust performance in the first quarter, including our 6.6% year-over-year mobile service revenue growth, that outperformed to lead the industry as well as the increasing fixed broadband high-speed 300 megabits per second and above. Service subscriptions exceeded the record of 1 billion. Our technology capabilities also continue to feel the performance of innovative applications. As a result, EBG's emerging enterprise application revenue demonstrated strong growth and was up by more than 40% year-over-year. For CBG subscription and advertisement revenue from MOD and home video accelerated due to our 5G + 4D multi-angle broadcasting capabilities. It utilized in the broadcasting of the World Baseball Classic during the quarter. Now let's move on to a closer look at our mobile business on Slide 5. In the first quarter, we were delighted to report that we expanded our leadership in subscriber share and revenue share in Taiwan's mobile market, climbing to 36.8% and 39.7%, respectively, with growth on a year-over-year and quarter-over-quarter basis, assuming our sustainable leading position in Taiwan. We are even more pleased to see our revenue share exceeded our subscriber share by 2.9%, reflecting a healthier subscriber structure compared to our peers. Our mobile service revenue also took the lead in the industry with a 6.6% increase, maintaining its growth for 21 consecutive months on a year-over-year basis, owing to the up sales resulting from 5G migration and the increase of postpaid subscriber numbers. For those who migrate from our 4G to 5G, we absorbed an average 43% uplift in their mobile monthly fees. Additionally, owing to the revitalized cross border activities, we see our roaming revenue and the prepaid revenue continued to ramp up in the first quarter. Total mobile subscriber numbers, excluding IoT SIMs was up by 4.2% year-over-year backed by the increasing prepaid and postpaid subscriber numbers, maintaining its upward trajectory for the eighth consecutive quarter. In April, we came up with Line Mobile Taiwan to leverage digital capabilities on both sides that jointly increase better quality of customer service. We will continue our value creation strategy to expand our ecosystems going forward Moving on to slide 6, you may find an update of our fixed broadband business. We rolled out speed upgrade promotion package in the second half of 2022, which was very well-received and beyond our expectation. Following the speed upgrading momentum, we are delighted to announce that our accumulated subscribers adopting 300 megabits per second and above passed the threshold of 1 million in the first quarter. This success affirmed our strategy of focused resource allocation on attracting high speed service adoption. Going forward, we will follow the success and tilt our resources to grow 300 megabits per second, 500 megabits per second and Giga-level subscriptions. In the first quarter, total fixed broadband revenue increased by 2.5% year-over-year driven by the digital trend and its opportunities. Fixed broadband ARPU also continued its growth trend for the 14th consecutive quarter, increasing by 0.8% year-over-year. Now, let’s move on to the performance of our customer-centric business groups. Slide 8 presents the performance of our CBG Group. In the first quarter, income before tax of CBG increased by 3.3% year-over-year mainly due to the enduring growth of telecom services. Total revenue of CBG increased by 4.1% year-overyear while mobile service revenue grew by 7.2% year-over-year propelled by stable 5G migration and the increase of postpaid subscriber numbers. Fixed-line service revenue was flat while fixed broadband revenue maintained its upward trend owing to the successful upsell along with the speed upgrade and strong growth of home Wi-Fi services. Sales revenue increased by 4.4% year-over-year mainly due to the stabilized iPhone supply during the quarter. Slide 9 further illustrates our Consumer Business Group highlights. In the first quarter, our multiple-play package continued to support the growth momentum of our CBG business. The subscriber numbers of mobile, fixed-broadband and Wi-Fi services altogether demonstrated 17.6% quarter-over-quarter growth. In particular, our Home Wi-Fi subscription numbers increased by 1.5x on year-over-year basis, boosting our subscription based revenue and sustaining the popularity of home-centric applications. The number of our video subscription increased during the quarter, thanks to our attractive content and effective marketing strategies. MOD’s revenue and subscriber number increased mainly due to our successful bundled plans promoting MOD and fixed broadband altogether. Hami Video sign-ups soared thanks to our well-received broadcasting of the World Baseball Classic held in Taiwan. We demonstrated our 5G + 4D panorama broadcasting technology and delivered excellent viewing experiences. The success was also reflected in the growth of our advertisement revenue. We will continue to invest in sports events and exclusive content to maintain our video platform leading positions in Taiwan. Please turn to Slide 10 for an overview of our enterprise business group performance. In the first quarter, EBG reported a 3.7% year-over-year increase of its income before tax, demonstrating its robust growth momentum. On a year-over-year basis, total revenue of EBG increased by 8.2% mainly driven by the strong growth of our ICT business. Revenues of 5G private network, IDC, cloud, cyber security and big data services all reported double-digit year-over-year growth. In addition, other revenue of EBG increased by 32.6% year-over-year mainly due to the recognition of ST-2 satellite compensation from the government. Mobile service revenue was flat in the first quarter mainly attributable to the continued 5G upselling as well as the growth of international roaming revenue driven by the recovery of international business activities and tourism. Furthermore, we were glad to see the digital transformation trend and its opportunities continued to enhance our data communication and broadband access revenue, also -- although fixed line revenue decreased year-over-year in the first quarter impacted by decreased voice revenue. Slide 11 illustrates our enterprise business highlights. In the first quarter, on a year-over-year basis, our total enterprise emerging application revenue increased by 31.5% as most of our major applications demonstrated a double-digit growth rate. In particular, 5G private network and big data analysis applications showed their strong market potential by doubling the revenues on a year-over-year basis. In fact, we constantly leverage 5G technology to advance smart medical applications. In the first quarter, we successfully facilitated 5G private network in the hospital to create the immersive AR environment for daVinci surgical training via 3D technology assistance, which is also a milestone for our hospital partners. Furthermore, our AI platform solutions combining cutting-edged AI and big data analysis capabilities are being well-received by customers. We continued to acquire chatbots and image analysis projects in the areas of judiciary, power-saving practices and security industry. We were also excited to see our cloud, IDC, and cybersecurity services all achieve significant year-over-year revenue growth in the first quarter with 39%, 39% and 32% growth, respectively, owing to the increasing demands of digital transformation trend and its opportunities. Slide 12 illustrates our international business performance. In the first quarter, our international business group revenue increased by 24.3% year-overyear, mainly driven by emerging business revenue and fixed broadband revenue due to strong demand of International Private Leased Circuit, IDC and cloud services from global clients. In the first quarter, our subsidiary in Japan made great strides as they successfully received the green light to acquire large-scale ICT construction projects in Japan by obtaining Japan’s Specific Construction License for the telecommunication construction business. With the license, we anticipate foreseen business expansion in Japan, particularly the areas of large ICT projects and 5G private network constructions. Now I would like to turn the call to Vincent for our financial highlights.
Vincent Chen: Thank you, Chairman, Kuo. Good afternoon, everyone. I will now walk you through our first quarter financial results. Let's start with Slide 14, income statement highlights. For the first quarter of 2023, total revenues increased by 5.7% to TWD54.21 billion from TWD51.30 billion compared to same quarter last year. The increase was primarily driven by robust mobile service and ICT revenues. Income from operations grew by 4.4% to TWD12.17 billion, mainly attributable to higher profits from ICT business and government compensation related to ST-2. EPS increased by 6.4% to TWD1.24 from TWD1.17 on year and EBITDA also grew by 3.3%. EBITDA margin continued to stay at above 40%. Now move on to Page 15 for balance sheet highlights. Compared to the end of 2022, total assets on March 31, 2023, grew by TWD1.38 billion, mainly due to an increase in current assets. Total liabilities were tied by 6.4%, primarily attributable to the decrease of accounts payable. This brings now our debt ratio of around 24% to 23%. On top of that, net debt over EBITDA remains zero. Altogether, this ratio showcase how robust our balance sheet is. Page 16 presents the summary of our cash flows. Cash flows from operating activities decreased by 5.2% on year, mainly due to the settlement of salary payable and payments to suppliers and maintenance contractors. As for capital expenditure, the total amount of cash outlays increased by 3.6%. Specifically, mobile-related CapEx was lowered by 35% on year, whereas non-mobile related CapEx increased by 33% on year, mainly attributable to IDC investments. In addition, free cash flows decreased by 12.2% on a year-over-year basis. Overall, our strong balance together with robust cash flows from operations, lay out solid foundation for us to sail through economic uncertainty and to remain committed to driving operational growth and creating long-run value for our shareholders. On Slide 17, the table reports financial results against our financial guidance. In the first quarter of 2023, all performance measures, including revenue, income from operations, net income, EBITDA and EBITDA margin exceeded our financial forecast. Notably, profit-related performance measures, such as income from operations, net income and EBITDA, beat our guidance by a modest margin attributable to continuously strong performance in core and ICT businesses. That concludes the overview of our Q1 financial results. Let me turn the call over to Harrison.
Shui-Yi Kuo: Thank you, Vincent. On Slide 18 is our awards and ESG recognitions received in the first quarter. In the Sustainability Yearbook 2023, we were awarded the prestigious Top 5% S&P Global ESG Score, competing against over 7,800 companies worldwide. Our impressive performance also placed us the top 5% and the 3rd ranking in the Telecommunications group. At the FinanceAsia Awards, we proudly received three Gold Awards for Best Overall Company, Best Telecommunications Company, and Best Corporate ESG Strategy. I would like to thank investors again for your encouraging support. Moreover, our commitment to corporate governance excellence was acknowledged by Taiwan Stock Exchange, recognizing us as one of the TOP 5% companies. This marks our 8th time receiving awards for best corporate governance Taiwanese companies in 2022. Our subsidiaries, Chief Telecom and Chunghwa Precision Test, also received the TOP 5% recognition for their corporate governance, showcasing the consolidated strengths of the CHT Group. These achievements solidify our position as a leader in the telecommunications industry and exemplify our unwavering commitment to sustainability, ethical practices, and corporate excellence. Guided by responsible business principles, we remain dedicated to delivering long-term value for our stakeholders. This concludes our prepared remarks. Thank you for your attention. At this time, I would like to open up our conference call for questions.
Operator: [Operator Instructions] And our first question comes from Neale Anderson of HSBC. Go ahead please.
Neale Anderson: Thank you. good afternoon. Two questions, please, on the International Business Group. So the revenue growth was quite good. Do you expect that to continue through this year? I'm trying to understand how much is seasonal or how consistent and recurring you expect that to be? And the second one relates to the Japanese subsidiary and the possibility of large telecom construction projects in Japan. I understand that's a pretty competitive market. So I'm just wondering what you feel Chunghwa's competitive edge is in Japan and in other markets outside Taiwan? Thank you.
Vincent Chen: So for the first question about the International Business segment and whether their performance will be consistent and how we expect in the future. So what we can share is that we are still very optimistic about the performance of our IPG. And so we have the two strategies, which is bringing the world to Taiwan and the other one is to bring Taiwan to the world. So, so far, we think the business in terms of the combination is quite well, and we expect actually for each of the strategy will persist and continue to grow in the future. And for your second question about the Japanese about the construction license, right? So the advantage for us is to provide a more comprehensive ICT solution to our customers. So that will for in the intermediate term, that will definitely benefit our Taiwanese customers, which explore business opportunities in Japan. So it is as long as we build up our reputations in Japan, we can see small future and more opportunities from global clients. Thank you.
Neale Anderson: Thank you. Understood.
Operator: Thank you. [Operator Instructions] Next question is from [indiscernible], JPMorgan. Go ahead, please.
Unidentified Analyst: Hi. Your costs have risen a bit faster than revenues. Can you talk about what is the reason for that? And what is the outlook going forward? Thanks.
Vincent Chen: Okay. So basically, for -- if we look at the growth, right, of our revenue, it's about 5.7%. And for the net income, it's about 4.4%, I mean, income from operations. So basically, it's due to the greater depreciation and amortization because we acquired a spectrum from the [indiscernible]. Also, we invest in the talent attraction. We invest in talent. So that's why the main power costs also arise. So that's basically the two primary reasons. Thank you.
Unidentified Analyst: Okay, thanks. But these costs should remain higher in the coming quarters as well. This is a more sustainable cost increase, right?
Vincent Chen: Yes. These costs and it will become stabilized in the future.
Unidentified Analyst: Okay. Thank you. And can you talk a bit about your CapEx in the longer run. I believe this year, your CapEx is going to be a bit higher because of some special projects. Can you talk about CapEx beyond 2023?
Vincent Chen: So for the first quarter, because in terms of the CapEx, basically, if we take a longer perspective, then that will be more [indiscernible] -- it will be more precise. So for the first quarter, the increase is basically from the non-mobile CapEx, which attributed to the IDC and the fixed line. So these are within our expectation. So for the full year guidance, now we remain unchanged. Thank you.
Unidentified Analyst: Can you talk about corporate CapEx beyond 2023?
Vincent Chen: We -- so for now, we still -- we will see how business progress. So we will reduce our CapEx at the end of the year or for the -- in the early next year.
Unidentified Analyst: Okay. Thanks.
Operator: Thank you. [Operator Instructions] Next question, [Indiscernible] of JPMorgan. Go ahead, please.
Unidentified Analyst: Hello. So if I look at all your peers, their CapEx is going down this year, your CapEx is going up, and that's mainly because of the non-mobile CapEx. So can you provide some longer term? I know you don't want to provide exact numbers, but directionally, is this non-mobile CapEx up this year because of one-off reasons? And does it go down going forward or not?
Vincent Chen: Okay. So basically our mobile-related CapEx was peaked. So the mobile CapEx will be going down in the future. So we will expect a downward trend for mobile related CapEx. Thanks.
Unidentified Analyst: What about non-mobile?
Vincent Chen: Non-mobile, actually, it depends because it depends on the order taking and the demand from the customers. So it's very hard for us to make a forecast for the next few years.
Unidentified Analyst: Okay. But if I look at 2023, your non-mobile CapEx is more than 2x your mobile CapEx, right?
Vincent Chen: That's for the first quarter, yes. We still -- having said that, for the non-mobile CapEx, we expect the IDC and for the supplemental cables, these are two important items. And we still see -- still very highly of the business opportunities from these two lines of businesses. So this is what we can share for the moment.
Unidentified Analyst: Okay. Thanks.
Operator: Thank you. [Operator Instructions] Thank you. If there are no further questions, then I will turn it back over to President, Kuo. Go ahead, please.
Shui-Yi Kuo: Thank you for your participation. Goodbye.
Operator: Thank you, President, Kuo. We thank you for your participation in Chunghwa Telecom's conference. There will be a webcast replay within an hour. Please visit www.cht.com.tw/ir under the IR Calendar section. You may now disconnect. Goodbye.